Operator: Greetings, and welcome to the Global Medical REIT's Fourth Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn this conference over to your host, Mr. Steve Swett, Investor Relations. Thank you. Sir, you may begin your presentation.
Steve Swett: Thank you. Good morning everyone, and welcome to Global Medical REIT's fourth quarter and year-end 2021 earnings conference call. On the call today, we have Jeff Busch, Chief Executive Officer; Alfonzo Leon, Chief Investment Officer; and Bob Kiernan, Chief Financial Officer. Please note the use of forward-looking statements by the company on this conference call. Statements made on this call may include statements which are not historical facts, and are considered forward-looking. The company intends these forward-looking statements to be covered by the Safe Harbor provisions for forward-looking statements contained in the Private Securities Litigation Reform Act of 1995, and is making this statement for purpose of complying with those Safe Harbor provisions. Furthermore, actual results may differ materially from those described in the forward-looking statements, and will be affected by a variety of risks and factors that are beyond the company's control, including, without limitation, those contained in the company's 10-K for the year ended December 31, 2020, and its other SEC filings. The company assumes no obligation to update publicly any forward-looking statements, whether as a result of new information, future events or otherwise. Additionally, on this call, the company may refer to certain non-GAAP financial measures, such as funds from operations, adjusted funds from operations, EBITDARM, and adjusted EBITDARM. You can find a tabular reconciliation of these non-GAAP financial measures to the most currently comparable GAAP numbers in the company's earnings release and in filings with the SEC. Additional information may be found on the Investor Relations page of the Company's Web site at www.globalmedicalreit.com. I would now like to turn the call over to Jeff Busch, Chief Executive Officer of Global Medical REIT. Jeff?
Jeff Busch: Thank you, Steve. Good morning and thank you for joining our fourth quarter and year-end 2021 earnings conference call. Joining me today are Alfonzo Leon, our Chief Investment Officer; and Bob Kiernan, our Chief Financial Officer. GMRE was founded with a vision to create a resilient, high-quality portfolio of medical facilities aligned with strong operators and healthcare systems in their local markets. We expect to generate stable revenues and return for our investors through these properties, and are pleased to deliver to you another solid quarter and full-year of growth and performance. Looking at the full-year, primarily driven by our acquisition activity, we increased our total annual revenue approximately 24% year-over-year, to $115.9 million. With respect to earnings, we reported net income attributable to common stockholders of $11.8 million or $0.19 per share, FFO of $0.90 per share, and unit and AFFO of $0.95 per share and unit. After fortifying our balance sheet and liquidity early in the year, and reducing our leverage below 45%, we remain disciplined in our approach to identifying acquisition opportunities that met our investment criteria and targeted return requirements. In the fourth quarter, we completed four acquisitions for $25.9 million, bringing our full-year acquisition to $189 million, at a 7.5% weighted average cap rate. In the fourth quarter, we funded a $6.8 million expansion of our Mercy Rehabilitation Hospital property, in Oklahoma City, that is expected to generate a return of 11.8%. In total, we invested $196 million in revenue-generating real estate investments during 2021, at a weighted average cap rate of 7.6%. Alfonzo will provide details in a moment, but I want to note that our portfolio exceeds $1.3 billion in total assets, and produces over $103 million in total annualized base rent, at an average cap rate of approximately 7.8%. IN addition to these achievements, we recently issued our first Corporate Social Responsibility Report, which details our ESG philosophy and accomplishments. And we look forward to continuing and expanding our ESG efforts in the future. I am proud of the team's dedication and accomplishments during 2021, and would like to thank them for their unwavering efforts throughout the year. I am excited at what lies ahead, in 2022, as we focus on the opportunities in front of us to continue our accretive growth into the future. With that, I'd like to turn the call over to Alfonzo to discuss our investment activity in more detail. Alfonzo?
Alfonzo Leon: Due, in part, to the outperformance of medical facilities compared to other real estate assets during the pandemic, and optimism in the long-term fundamentals for healthcare, the market for medical facilities remains competitive. However, due to our diligent and developed sourcing contacts, we continue to successfully locate and acquire high-quality properties within our target cap rate range. As Jeff mentioned, during the fourth quarter, we closed on four acquisitions, totaling $25.9 million at a weighted average cap rate of 7.5%. In addition to these closings, we funded a 10,447 square-foot $6.8 million expansion at our Mercy Rehabilitation Hospital, in Oklahoma City, Oklahoma, that is expected to generate an 11.8% cash return. For the full-year 2021, we closed on 20 acquisitions for $189 million at a weighted average cap rate of 7.5%, bringing our total portfolio size to $1.3 billion, with properties in 33 states. Our focus on acquiring individual assets has benefited us tremendously as most other investors focus on acquiring large portfolios. As we continue to grow, we will leverage our relationships and networks to continue to source and secure deals. In the quarter, we sold one property for gross proceeds of $5.5 million, resulting in a gain of $1.1 million. Also, the expected closing date of our previously announced contract to sell one of our four medical office buildings, located in Belpre, Ohio, has been moved back from March. And we currently anticipate that this sale will close no earlier than June of this year. Although we don't actively look to sell our properties, we may sell properties for very strategic or opportunistic reasons based on market conditions. Regarding our activity so far this year, we completed one acquisition, a 17,713 square foot medical office building in Gainesville, Georgia, for $5.1 million at a cap rate of 7.1%. It's important to note that we continue to maintain an active pipeline of potential opportunities in different stages of discussions, and currently have seven properties with an aggregate purchase price of approximately $72 million under contract. These properties are currently in due diligence and subject to customary closing conditions. For 2022, while the market remains very competitive, we are currently targeting to complete between $180 million and $220 million of acquisitions, at an average cap rate of 7%. I would like to now turn the call over to Bob to discuss our financial results.
Bob Kiernan: Thank you, Alfonzo. GMRE continues to benefit from strong relationships with our tenants and solid portfolio performance. We ended 2021 with $4.3 million of total leasable square feet, 97.5% occupancy, 7.1 years of weighted average lease term, 5.1 times rent coverage with 2.1% weighted average contractual rent escalation. In the fourth quarter, we achieved a 21.7% year-over-year increase in total revenue to $30.3 million driven primarily by our acquisition activity over the past year. Note that our revenues in the fourth quarter include the impact of approximately $300,000 in reserves related to a tenant that we moved to the cash basis of accounting in the period. Note also that we recognized approximately $100,000 in revenue from other cash basis tenant in the fourth quarter. Our total expenses in the fourth quarter of 2021 were $25.9 million compared to $22.3 million in the prior year quarter. The increase was primarily due to higher operating and depreciation and amortization expenses due to our larger portfolio, partially offset by lower G&A and interest expense. G&A expenses for the fourth quarter of 2021 were $3.9 million compared to $4.4 million in the prior year quarter with a decrease primarily due to a reduction in non-cash stock compensation expense. Within our G&A expenses, note that our stock compensation cost in the quarter was $1.2 million and cash G&A cost was $2.7 million. Looking ahead, we expect our G&A expenses to be modestly above this level and average between $4.2 million and $4.4 million on a quarterly basis in 2022 even as we continue to increase the size of our portfolio. Of these estimated G&A cost, note that we are forecasting a stock compensation component to average between $1.2 million and $1.3 million per quarter. Our operating expenses for the fourth quarter were $4.5 million compared to $2.6 million in the prior year quarter with the increase in these expenses being driven by the growth in our portfolio and to a lesser degree to impact gross leases. Net income attributable to common stockholders for the quarter of 2021 was $3.8 million or $0.6 per share compared to $1.1 million or $0.2 per cent in the fourth quarter of 2020. For the full-year 2021, net income attributable to common stockholders was $11.8 million or $0.19 per share compared to a loss of $7.7 million or $0.17 per share in 2020. As discussed previously this full-year 2020 loss includes $40 million of onetime expenses related to management internalization. FFO in the fourth quarter was $0.23 per share in unit compared to $0.22 per share in unit in fourth quarter of 2020. AFFO in the fourth quarter was $0.24 per share in unit which is flat compared to the prior year quarter. For the full-year 2020, our AFFO was $0.90 per share in unit compared to $0.56 per share in unit in 2020. And our AFFO 2021 was $0.95 per share in unit, up 8% compared to $0.88 per share in unit in 2020. Moving on to the balance sheet, as of December 31, 2021, gross investment in real estate was approximately $1.3 billion which is up $200 million or 18% from the start of the year. Relative to equity in the fourth quarter, we generated gross proceeds of $11.3 million through ATM issuances of 665,000 shares of our common stock at an average price of $17.02 per share. And for the full-year 2021, we issued 15.3 million shares in common stock generating gross proceeds of approximately $230 million including approximately $98 million through ATM issuances. Reflecting the impact of our equity issuances, at December 31, 2021, we had approximately $580 million of first debt, and our leverage ratio was 43%, down meaningfully from 52% at year-end 2020. Our weighted average interest rate during the fourth quarter was 2.88%, and our current unutilized borrowing capacity under the revolver is $222.5 million. Overall, we continue to believe we are well-positioned to execute on our acquisitions and overall business strategy, and look forward to sharing our progress with you throughout the year. This concludes our prepared remarks. Operator, please open the call for questions.
Operator: At this time, we'll be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Barry Oxford with Colliers Securities. You may proceed with your question. Barry, you may proceed with your question.
Barry Oxford: Sorry, about that, I was on mute, guys. Thanks for taking my question. Alfonzo, the first one is for you. Hey, how are you doing? As far as new -- you mentioned further competition for acquisitions. Are you seeing a new type of competitor in the market or are they kind of the regular types of competitors you're used to seeing?
Alfonzo Leon: So, in 2021, there was an inflow of capital from institutional investors, and private equity funds as well. So, what I would say is, a lot of the money that was coming in -- came in last year, I'm not really hearing of people talking about more funds coming in, and if there are it's not as prevalent as it was last year. So, I would also highlight that a lot of the money that has come in, in last 18 months, are funds that have three to five-year hold periods, and these are funds that want to aggregate portfolios and have distinct exit strategies that are [indiscernible] they want to do. And so, what that means is this money has a very clear, finite period of investment. And the types of properties that they're looking for tend to be larger because they're trying to move the funds that pass quickly, and they're trying to consolidate them in a portfolio. So, they tend to be simpler assets, larger assets. And that's where most of the competitive pressures have come in.
Barry Oxford: Okay, great. And then, I guess this one is probably maybe more for Jeff. And Jeff, with increasing interest rates out there in the marketplace that we're probably going to be looking at in '22, do you see healthcare cap rates having to back up or is the flow of money on the sidelines just so great that, yes, even though interest rates are going to be moving up, that it's not going to really put pressure on cap rates?
Jeff Busch: Actually, I see cap rates going up over this next year, because a lot of these -- and two things happened with the banks, it's not just the interest rates go up, being experienced buyer in the market, also I worked on the private equity side. They also require more equity in the deal. So, it's like two things happen at the same time when the banks are raising rates and also seeing more risk into the future. So, these groups that are borrowing and leveraging very high, and then four caps, five caps that have small amounts of spread are not going to be able to do those small amounts of spreads anymore, so it's going to sort of drive it. So, in my opinion, and historical, seeing three or four of these, I call, bubbles and then drops, I do think the cap rates will go up. I think it takes a little while, but I do think the cap rates will go up. I mean we seem to be managing because we've moved into a strategy to look for the stuff that they're -- which has always been our strategy, is to look for good quality projects that's not what the other guys are looking for, and that had to include not only the REITs, but the private equities, and all these funds. But I do believe cap rates will go up to match. It's not a perfect match, but the markets sort of adjust to that.
Barry Oxford: Right.
Jeff Busch: It's not a perfect match, and it's not a perfect timing, but over time the cap rates will come back up. I do believe, in a year or two, there'll be tremendous opportunities for us to buy and maybe even buy at higher volumes than what we buy, and maybe even get back more into the single-tenant absolute net leases, which these new guys just love, but they may run out of room because their funds are sort of ending. So, we have some real opportunities going forward, but right now I'm just very proud, in a very tough market, that our team, our acquisition team and total team was able to keep up around the $200 million rate, which is what we target every year. So, I'm very proud of that.
Barry Oxford: Right, thanks for the color there, great. And then I guess, Bob, one question for you on the ATM usage for '22. And I know it's always hard to tell because I know it's stock-price-dependent, but are you planning to use the ATM, let's assume stock prices kind of within a range that you like, would you be targeting kind of the same amount of ATM activity in '22 that you had in '21, or not necessarily?
Bob Kiernan: So, I think we'll start with kind of thinking about relative to our leverage, and then how we would use it. So, we'd look to continue to target our leverage in that same range we'd been talking about last year, which was that 40% to 45% range. And we would look to the ATM as our first tool to accomplish that at prices that we thought were attractive.
Barry Oxford: Right. Okay, all right. Thanks, guys.
Jeff Busch: Thank you, Barry.
Operator: Our next question comes from the line of Rob Stevenson with Janney. You may proceed with your question.
Rob Stevenson: Good morning, guys.
Jeff Busch: Good morning.
Rob Stevenson: Medical office building rent coverage ratio jumped from 5.7% in the third quarter to seven -- or 7.7 times in the fourth quarter. What's happening there to drive such a big jump in three months?
Bob Kiernan: So, on that one, Rob, it was a couple -- three new tenants reporting that had excellent outstanding coverage. And that helps to drive that number higher, And so, it was really a function of just timing of results as we cycle through reporting from different tenants. And a couple of the tenants in that bucket that I'm describing had coverage of, say, 11 times. So, you've just got some situations where you've got real significant rent coverage, and that's pulling the overall number up.
Rob Stevenson: Okay. And then any known move-outs or notable downsizing on leases on the, roughly, 24% of your ABR that you have rolling through 2024 at this point?
Jeff Busch: For 2024, Rob, there's not a lot -- I can't really give a lot of color on 2024, it's -- 
Rob Stevenson: Well, I mean, in the next three years, I mean, 2022, '23, and '24.
Jeff Busch: Yes.
Rob Stevenson: I mean, it's roughly a quarter of your ABR rolls over that three-year period. And anybody that's downsizing that you know of or moving out, that you know of, at this point?
Bob Kiernan: Not this early in the process, it's really -- I mean, from the near-term, if I think of 2022, we have -- our expectation on the 2022 renewals is upwards of 85% to 90% retention at this point. And if I look even at the detail of the 2022 renewals, almost a quarter of it really is -- doesn't even expire toward the very end of this year. But overall, that near-term has got a high retention rate. And then I think would just continue to look and work through the next two years. But nothing kind of that sits out there as a kind of dramatic, significant item at this point.
Rob Stevenson: Okay, and then last one from --
Jeff Busch: [Multiple Speakers] --
Rob Stevenson: Sorry, go ahead.
Jeff Busch: Yes, I mean, if they're moving you tend to know a bit in advance, so -- or they are building or something in the area, but we don't have that right now. We have all that we're looking at, and to be talking to us.
Rob Stevenson: Okay. And I guess the other part of that question would wind up being is that you guys have a little over 100,000 square foot of vacancy in the portfolio overall. A lot of that's in little chunks here and there. But what do you -- where are you in leasing on the few blocks of size of vacancy that you guys have today? Any sort of prospects there that you guys are excited about?
Jeff Busch: Yes, Melbourne, we finally in Melbourne got out the tenant after the bankruptcy, some payments from them, and we actually got them out in January. And we're working with three tenants about taking. I think it'd be about half the building three different substantial tenants. The thing that we were always excited about Melbourne is a Class A building on the waterfront. Really the premier building to be in Melbourne, Florida, and a nice building, I mean, we have to put a little bit of work into it. But we were sort of held up because the tenant was in bankruptcy, had a master lease and we couldn't go out and do leasing. So, we're excited about that, particularly getting that back now, the way the rental markets work right now. We always have to give some type of concessions with long-term leases and stuff. So, I really wouldn't expect that to come on board as a big income thing like getting back fully till next year, but we'll slowly get back this year on board as income producing property and works and that will help a lot.
Rob Stevenson: Okay. All right, guys, I appreciate the time.
Jeff Busch: Thank you.
Operator: Our next question comes from the line of Jordan Sadler with KeyBanc. You may proceed with your question.
Jordan Sadler: Good morning. Looking to see if there's any additional color you guys could offer on the assets that are under contract. It seems like you've got a fair bit teed up. Maybe Alfonzo you could offer up some color and the timing or maybe just characterize whether or not there is one or two larger assets or there's a portfolio or one-offs? That'd be great. Thank you.
Alfonzo Leon: Sure, and apologies that the connection was a little choppy. Could you repeat the question?
Jordan Sadler: Yes, just curious about the assets that are under contract the $72 million?
Alfonzo Leon: Okay. Sure.
Jordan Sadler: Wanted to just do like timing, is there -- are these one-offs or is there a portfolio number of assets that'd be helpful?
Alfonzo Leon: Sure. So, there's fixed assets that make up that number. And we're -- it's always, we give ourselves 30, 40 days of diligence for all these deals. And these are all at different stages, but we're expecting maybe a third or a half of them to close in the first quarter and the rest of the follow, so we are I think maybe Bob might have better numbers, but these are fixed transactions. And we're expecting them to close over the next two to three months.
Bob Kiernan: All just, so it's not our portfolio. It's individual assets. And we seem to be it picked up for us buying picked up for us towards the end of last year, so it's interesting to say. I call it a little bit of a lull period, then we suddenly now have a nice under contract, and coming down the road assets. So, for whatever reason, it was there was a little bit of a lull period, in that third quarter range. But now we're actually picking up much more speed on them and some of them just take longer, and that's part of the reason we had things that we're working on and we now we're doing a little bit more complicated assets, because to try to get the cap rates that we get, so we're doing more multiple tenant assets than we did before, because the really fast new money does not really look to those and we those an area that we moved into. So, you may see that hit our occupancy rate a little bit going towards the future, because we're finding assets and saying, "Boy, we could get a seven cap." I'm just giving a theory. We could get a seven cap and there's potential to make this an eight cap and it's a good rental market and then not fully rented. But we now are taking those assets and that's going to bring down our occupancy rate somewhat, but it's worth the investment and there's a lot of upsides besides the seven caps are around that.
Jordan Sadler: Okay. And the last quarter we talked about a broader look. I believe you phrased it in terms of how you were looking at I believe you phrased it in terms of how you were looking at the market and as that you might look at, did -- were any of these assets sort of fall under that umbrella of like sort of your broadened -- 
Alfonzo Leon: Yes, yes.
Jordan Sadler:  -- look or view of assets, because they're multi-tenant essentially or because of pricing. How would you think about it?
Alfonzo Leon: A little bit of both. A strategy that we've been putting through is we looked at just what I mentioned. We look sometimes and say, "Okay. It's multiple tenants." They're not fully occupied. It's not somebody who runs MOBs very well. The market's a strong market. And we could overtime rent up and we still get a decent cap rate coming in, a very accretive cap rate, we're not buying on a premium. And then our averages will come out around seven. So, I can tell people, we get seven fives and we may get six fives, but we put them all together, so we bought a couple of larger tenants, And so, when you see it you could see that this thing is more like 20 million, 80 million and then others where before we were sort of stopped with the fives and sixes. And we did 20 assets last year. That was a lot of work. And the new strategy actually has to do with, it's the same risk level, we're not buying risky or you may even consider it more diversified because we're going more into multiple tenants. And it has and may even have a bit more upside because the leases get, quicker renewables even though you have some more vacancy and you could go up more with like an inflationary situation. So, in all different factors, these are good assets for us to buy. These are assets others in our market don't really want to have because they're sort of smaller and hassle, but we're built to do hard work. I mean, as I tell everybody our main philosophy is we're making extra spread for our best by doing much harder work and includes the asset management side of our business.
Jordan Sadler: Okay, that's helpful. And then on the operating side, and then this may be a function of some of the assets you purchased in the fourth quarter. But I noticed that occupancy dipped by about 140 basis points sequentially. Can you speak to that decline?
Bob Kiernan: Yes. Sure, Jordan that's going to be really moving the Melbourne tenant from occupied technically through the master lease, as we got out from under that and move the tenant out as Jeff mentioned, migrating that into the, into the vacant space as we look there to get that mixed up, that was the primary move.
Jordan Sadler: Okay. And then, was there anything else in OpEx well, I have here.
Alfonzo Leon: Sure.
Jordan Sadler: I noticed that kind of spiked up sequentially. And I obviously had been buying stuff, but look like a bigger number than we've seen yet.
Alfonzo Leon: Yes, so if you just kind of break that down the overall OpEx that was in the quarter, you had say four and a half in total. We're still kind of, again, largely covering that through the revenue, just expense recovery revenue. In this case, it was $3.2 million and then we have with the asset -- a couple of the assets we've picked up in the third quarter of this year, end up with a few more gross leases. And so, the gross lease component is in there. And so, our net exposure kind of after the recoveries and the impact of gross leases that are operating or performing as underwritten, we ended up having a tick up in that net exposure in the fourth quarter, kind of moving from let's say 300,000 to 600,000. And it was due in part due to the, again, some of the cash basis tenants that we mentioned on the call. And then also, again, expenses on tenant or location like Melbourne, where, again, we're taking over the building that elevated expenses, as we pursue our rights and just the old -- under the old lease and then also assume and take on more of the building, so that those were kind of the moving parts kind of quarter-over-quarter in that number as that our net exposure did increase and that again, from a recovery perspective or net exposure perspective impacts that sequentially result.
Jordan Sadler: And the reserves that you took in the quarter was that related to Melbourne as well?
Alfonzo Leon: No, that was a new tenant. That tenant was from Michigan that -- it's a property that we have owned since 2016 and had been performing fine. There was a change in ownership about halfway through 2021. And subsequent to that, there started to be payment issues and pushback on the lease. And we are trying to resolve the issue. But just based on this tenant's actions and without a clear view ahead, we moved it to the cash basis of accounting. And that's -- again it's not a big tenant, $4 million asset. But again, that can have an outside impact on the quarter with that say $300,000 charge kind of being another say $400,000 swing from Q3 to Q4.
Jordan Sadler: So, even the cash you had no rent in the quarter from that tenant?
Alfonzo Leon: Right, exactly, so, yes.
Jordan Sadler: Okay, thank you.
Operator: Our final question comes from the line of Bryan Maher with B. Riley Securities. You may proceed with your question.
Bryan Maher: Good morning. Most of my questions have already been asked and answered. But just two follow-ups, on the acquisitions that are pending, what parts of the country are those generally, and if you could share that?
Jeff Busch: Sure. Let me get in front of me as well. So we are looking at Michigan, Carolina, Indianapolis, [indiscernible], Alaska, Florida, and Kentucky. So, pretty much all over the place.
Bryan Maher: Yes, I am excited about Alaska actually. Good market. There is times to visit that property and times to not.
Alfonzo Leon: Yes. The guys went out there when there is time.
Bryan Maher: Yes. And then the second question I have is on the Mercy Hospital expansion. I think you mentioned an 11.8% return on that. Can you give us little color on what exactly you are doing there?
Jeff Busch: I can start and Bob can expand. I mean this is something that when we were buying a property was contemplated that needed an expansion. And there is language on the lease that addresses how this has to be done. And there was a process where we had to talk to them and negotiate. The specifics of that mechanics I don't have off the top of my head. But it was driven in part by what was on the lease and what was negotiated eventually between parties.
Bryan Maher: Okay. And I am sorry if I missed this, but I think if the disposition that was pending, it got pushed out a little bit. Was there any particular reason for that? And is there any risk of that transaction not closing?
Jeff Busch: They are changing -- I'll just say they are changing their finance what they were looking at. So, they asked to push it out. And that was generally fine with us given that it had some more revenue until we replaced that revenue. So, we have a nice pipeline now to replace that revenue and go up. So, it's actually better timing for us to be pushed out. We have no idea about the chance of them not getting financing or not though on that side.
Bryan Maher: Okay, great. That's all from me. Thanks, Jeff.
Jeff Busch: Thank you.
Operator: Ladies and gentlemen, we have reached the end of today's question-answer session. I would like to turn this call back over to Mr. Jeff Busch for any closing remarks.
Jeff Busch: Well, thank you everybody for attending this year's -- this past year 2021 was an excellent year for GMRE on many levels. And we ex expect to have a very good year in 2022. Thank you again. Appreciate it. Goodbye.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation. Enjoy the rest of your day.